Operator: Good morning. My name is Loraine and I'll be your conference operator today. As a reminder, this call is being recorded. At this time, I would like to welcome everyone to Timken's First Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Hershiser, you may begin your conference.
Jason Hershiser - The Timken Co.: Thanks, Loraine, and welcome, everyone, to our first quarter 2017 earnings conference call. This is Jason Hershiser, Manager of Investor Relations for The Timken Company. We appreciate you joining us today. If after our call, you should have further questions, please feel free to contact me directly at 234-262-7101. Before we begin our remarks this morning, I want to point out that we have posted on the company's website presentation materials that we will reference as part of today's review of the quarterly results. You can also access this material through the download feature on the earnings call webcast link. With me today are The Timken Company's President and CEO, Rich Kyle; and Phil Fracassa, our Chief Financial Officer. We will have opening comments this morning from Rich and Phil before we open the call up for your questions. During the Q&A, I would ask that you please limit your questions to one question and one follow-up at a time to allow everyone an opportunity to participate. During today's call, you may hear forward-looking statements related to our future financial results, plans, and business operations. Our actual results may differ materially from those projected or implied due to a variety of factors, which we describe in greater detail in today's press release and in our reports filed with the SEC, which are available on timken.com website. We have included reconciliations between non-GAAP financial information and its GAAP equivalent in the press release and presentation materials. Today's call is copyrighted by The Timken Company. Without express written consent, we prohibit any use, recording or transmission of any portion of the call. With that, I would like to thank you for your interest in The Timken Company and I will now turn the call over to Rich.
Richard G. Kyle - The Timken Co.: Thanks, Jason. Good morning, everyone, and thanks for taking the time to join us today. We're pleased to have announced this morning that Timken returned to top-line growth in the first quarter, as demand in several of our end markets improved significantly from fourth quarter levels. We leveraged the 3% year-on-year revenue growth rate, a 10% improvement in adjusted earnings per share. We're now planning for demand for the rest of the year to continue at the higher levels, which is reflected in our increase in revenue guidance from flat to up 5% to 6% and our EPS guidance from flat to up 13% at the midpoint. In addition to growing and delivering solid results in the quarter, we continued to advance the company strategically on multiple fronts. I'll comment on what we're seeing in our end markets, including our outlook, and then summarize some of our other accomplishments. As we discussed on last quarter's call, at the end of last year, we saw a step up in orders and outlook for many of our industrial customers. China, mining, metals, construction, industrial distributors, customers across these areas were generally increasing orders and forecast. After an extended run of contraction in many of these markets, we were hopeful, but also very cautious on the sustainability of the increased activity levels. You can see on slide 5 in the investor deck that the magnitude of change in revenue trend was abrupt and more significant than what we would normally experience. I'm pleased to say that we responded well to the demand increase and our customer service remains high. And I'm also pleased to say that through the first few weeks of April our markets are holding at the higher run rates. I would not say that we saw enough sequential improvement over the last several months that would support strong sequential gains. So, we've guided to relatively flat organic revenue off of the first quarter level, as the year progresses, the year-on-year comp fees, which drives us to the 5% to 6% top-line improvement. If markets continue to strengthen, we will be in excellent position to capitalize just as we did in the first quarter. On the earnings line, our new guidance represents a 13% increase in earnings per share from 2016 at the midpoint. From a strategic perspective, we continue to invest in multiple growth initiatives. We are pleased to add Torsion Control Products to our coupling portfolio this quarter. Torsion provides metallic torsional coupling solutions to North American construction equipment OEMs as well as other off-highway equipment markets. The product fits nicely with our Lovejoy coupling business, which provides vast American torsional coupling solutions. Our Romanian bearing plant is scheduled to begin customer shipments this quarter. We continue to build our application pipeline at OEMs and, as always, we remain focused on capturing our share of global aftermarket demand. From an operational excellence perspective, in addition to strong service levels in the face of higher demand, we continue to have a robust pipeline of cost reduction initiatives, including the completion in the second quarter of a previously announced bearing plant consolidation. Our cost reduction momentum was slightly less evident in the first quarter results as we are facing increases in material and compensation cost from 2016, we did in last year in a relatively weak pricing environment. And year-on-year, volume in the first quarter was only up modestly. But we are confident in our ability to more than offset these challenges and improve margins from the first quarter level. So in our guidance, we are forecasting sequential margin improvement from first quarter's 9.9%. In regards to capital allocation, our cash flow was solid for the first quarter and we continue to expect strong cash flow for the full year. In addition to the Torsion acquisition, we invested $19 million in CapEx for growth in margin improvement, paid our 379th consecutive quarterly dividend, and acquired over 180,000 of our shares. We remain on the low end of our target leverage range before the 2017 cash flow is taken into account. And we will continue to take a disciplined approach to capital allocation with a bias for organic investments and further M&A through the year. In summary, we're pleased with the start to the year and optimistic about our ability to deliver customer and shareholder value in improving industrial markets. And with that, I will turn it over to Phil.
Philip D. Fracassa - The Timken Co.: Okay. Thanks, Rich, and good morning, everyone. For the financial review, I'm going to reference slides in the deck posted earlier today. And I'm going to start on slide 11. And I'd like to start off with a quick update on our change to the mark-to-market method of accounting for pensions, which we completed this past quarter. As part of the adoption, we have revised our prior year results for consistency. On Monday of this week, we filed Form 8-K to provide details on the 2016 impact by quarter. The financials you see today reflect mark-to-market in both periods. Looking at adjusted earnings per share, the first quarter impact of moving to mark-to-market was positive $0.04 in both periods. Additionally, our GAAP results for the first quarter of 2017 include an interim mark-to-market charge of around $4 million, due to lump sum payouts exceeding an accounting threshold for re-measurement. We have excluded this charge from our adjusted results. Let's move to slide 12. In the first quarter, Timken posted sales of $704 million, up almost 3% from last year. Organically, our sales were up around 1% in the quarter, reflecting increased demand in the industrial distribution and off-highway sectors, offset by lower shipments in rail, wind energy and aerospace. The benefit of the Lovejoy and EDT acquisitions added sales of $16 million in the quarter. On the bottom right of this slide, you can see that international operations drove our top-line performance in the quarter, as sales were flat in North America, but up across the rest of the world. In North America, increased demand in the off-highway sector and the benefit of acquisitions was mostly offset by lower revenue in other sectors, led by rail. In Europe, the increase was driven by wind and distribution, offset partially by weaker demand in rail and aerospace. In Asia, China drove the increase as we had higher shipments across the mobile end markets and industrial distribution, while wind was down. And in Latin America, very similar to China, we were up in mobile industries and distribution, but down in wind. On slide 13, you can see that our gross profit in the first quarter was $181 million or 25.6% of sales. I should point out that we recorded over $5 million of pension mark-to-market and restructuring charges at cost of sales this past quarter. After backing away these charges from both periods, first quarter gross profit was up around $3 million as higher volume, improved manufacturing performance and the benefit of acquisitions were only offset partially by unfavorable price and mix. Material was roughly flat in the quarter, as our cost savings tactics were able to mitigate the impact of higher scrap prices year-on-year. Adjusted gross margins in the quarter were down 40 basis points. SG&A expense was $120 million in the first quarter, up around $2 million from the year ago period. The increase reflects $1 million of higher pension related special charges. Otherwise, SG&A expense was up around $1 million as acquisition SG&A and higher compensation expense were slightly more than the benefit of cost reduction initiatives and other items. Below the SG&A line, you can see that we had $2 million of impairment and restructuring charges in the quarter related to ongoing cost reduction initiatives. Our first quarter EBIT was $61 million on a GAAP basis. When you back out the adjustments listed on slide 14, adjusted EBIT was $70 million or 9.9% of sales compared to $66 million or 9.6% of sales last year. Turning to slide 15, the increase in adjusted EBIT was driven by the favorable impact of manufacturing, SG&A, acquisitions and currency, offset partially by the net unfavorable impact of volume and price/mix. On slide 16, you'll see that we posted net income of $38 million or $0.48 per diluted share for the quarter on a GAAP basis. On an adjusted basis, our net income was $44 million or $0.55 per share compared to $0.50 per share last year. In the first quarter, our GAAP tax rate was 29% which included a favorable discrete tax benefit of around $1.5 million related to the new accounting guidance for stock compensation. Our adjusted tax rate was 30.5%. For the full year, we expect our adjusted tax rate to remain in this range. That's before the impact of any potential U.S. corporate tax reform. Now turning to slide 17. Let's take a look at our business segment results, starting with Mobile Industries. In the first quarter, Mobile Industries' sales were $383 million, roughly flat compared to last year. Organically, we saw increased demand in the off-highway sector, offset by continued weakness in rail and lower shipments in aerospace. Looking a bit more closely at the markets. In off-highway, mining and agricultural were both up year-on-year, driven by increased OE service demand. Rail saw the largest declines as we continue to be impacted by lower North American freight car builds, as well as weaker demand in Europe. Aerospace was negatively impacted by the timing of some defense-related shipments and our UK plant closure last year. Heavy truck was roughly flat, down in North America, but up in Asia. And automotive demand remains relatively strong. Sales were roughly flat in the quarter. For the first quarter, Mobile Industries' EBIT was $31 million. Adjusted EBIT was $37 million or 9.6% of sales, down slightly from $38 million or 9.8% of sales last year. The slight decline in earnings was driven by unfavorable price/mix, offset by favorable currency. Our outlook for Mobile Industries is for 2017 sales to be up 2% to 3%. The recent Torsion Control Products acquisition is expected to add roughly 1% and we expect currency to be relatively flat. So, organically, we're planning for sales to increase 1% to 2%, driven by growth in off-highway and heavy truck, partially offset by continued declines in rail. Now, let's turn to Process Industries on slide 18. Process Industries sales for the first quarter were $321 million, an increase of almost 7% from last year. The Lovejoy and EDT acquisitions added sales of $15 million in the quarter. Organically, sales were up over 2%, driven by increased industrial distribution demand and higher marine revenue, partially offset by lower revenue in wind energy and services. Looking a bit more closely at the markets, the increase in industrial distribution was entirely outside North America. Excluding acquisitions, North American distribution was down slightly versus last year. However, both our incoming order rates and backlog ended the quarter up from the prior year and up sequentially. Our performance in wind energy was driven by lower shipments in the Americas and Asia, which we believe is mostly timing, offset partially by growth in Europe. Our services business continues to be negatively impacted by continued softness in the oil and gas sector. And heavy industries was roughly flat in the quarter, as we have started to see stabilization across most underlying subsectors. For the quarter, Process Industries EBIT was $43 million. Adjusted EBIT was $44 million or 13.8% of sales compared to $37 million or 12.4% of sales last year. The increase in earnings reflects higher volume, improved manufacturing performance, lower SG&A costs and the benefit of acquisitions, offset partially by unfavorable price/mix. Our outlook for Process Industries is for 2017 sales to be up 9% to 10%. Acquisition should add around 2.5%, while currency is expected to reduce revenues slightly. So, organically, we're planning for sales to be up 7% to 8%, driven by growth across the Process Industries end markets, led by distribution. Turning to slide 19, you'll see that our net cash from operating activities was just under $47 million in the quarter. After CapEx spending of $19 million, first quarter free cash flow was around $27 million, slightly ahead of last year's level despite higher cash used for working capital. From a capital allocation standpoint, during the quarter, we invested 2.7% of sales in CapEx as our expansions in Romania and other emerging markets continue to progress. We returned $28 million to shareholders through the payment of our 379th consecutive quarterly dividend and the repurchase of 185,000 shares. We continue the integrations of Lovejoy and EDT, both of which remain on track. And, on April 3, we further expanded our coupling line with the acquisition of Torsion Control Products. And, finally, we ended the quarter with net debt-to-capital at 27%, down slightly from the end of last year. For 2017, we expect CapEx at around 4% of sales. We're committed to our dividend and we'll continue to look for attractive strategic bolt-on acquisitions. We also have the ability to buy back shares with over 9.8 million shares remaining on our current authorization, which expires around the end of 2020. I'll now review the outlook on slide 20. As Rich mentioned, we had a solid start to the year with stronger demand in several key market sectors. We have some markets like rail that are still weak and other markets like automotive that are running near peak levels. So while there is still some uncertainty out there, overall sentiment remains positive and we're expecting markets to maintain the momentum coming out of the first quarter with normal seasonality for the rest of the year. Accordingly, we're now planning for revenue to be up 5% to 6% from 2016. Currency remains a slight headwind for the year and the benefit of acquisition should add around 2%. So, organically, we're expecting growth of around 4% in 2017. On the bottom-line, we estimate that earnings per diluted share will be in the range of $2.15 to $2.25 per share on a GAAP basis. Excluding estimated restructuring and pension related charges, we expect adjusted earnings per share to be in the range of $2.35 to $.2.45 per share, which, at the midpoint, is up 13% from 2016. Our full year outlook implies an adjusted EBIT margin of between 10.5% and 11% at the corporate level, which is up around 50 basis points at the midpoint from last year. And, finally, we estimate that we'll generate free cash flow of around $210 million in 2017 which is more than 100% of adjusted net income. And, with that, I'll conclude my formal remarks and we'll now open the line for questions. Operator?
Operator: Thank you, sir. We'll take our first question from David Raso with Evercore ISI.
David Raso - Evercore ISI Group: Good morning. Just to your comment about sales going forward. You basically taking the first quarter run rate, running straight out and that gives you your guidance. Is there something you are seeing in April or anything around the backlog or order book that would suggest we are just looking at sequentially flat and just given some of the comments from some of your larger, especially off-highway and mobile on-highway customers?
Richard G. Kyle - The Timken Co.: Yes. So I think that's the way the math works out, David, as we said. But we would expect a little bit of sequential improvement from the first quarter to the second quarter and the orders and backlog support that. And, then as Phil said, you would largely baked in some normal seasonality which would be automotive. Second half a little weaker than first half on automotive OEM side. So the specific answer to your question it would support a little bit of a step-up in the second quarter and then we're looking for a little bit softer fourth quarter. But Q1 still will be in the bottom.
David Raso - Evercore ISI Group: Okay. Very helpful. Thank you.
Operator: Our next question comes from Stephen Volkmann with Jefferies.
Stephen E. Volkmann - Jefferies LLC: Hi. Good morning, guys.
Philip D. Fracassa - The Timken Co.: Morning Steve.
Richard G. Kyle - The Timken Co.: Morning, Steve.
Stephen E. Volkmann - Jefferies LLC: Rich, I think, you said at the outset that you still had a number of restructuring projects and so forth in the pipeline. I'm wondering if you could just high level, sort of, tell us what's left now in terms of what you're expecting in 2017? And then, secondarily, I'm curious now that business is getting a little bit better, you might have second thoughts about some of that restructuring. You might need some of that capacity or some of that expertise. I'm just curious if a recovering market would have an impact on those restructuring projects.
Richard G. Kyle - The Timken Co.: Yeah. I'll start with the second part and work backwards. No. I think I definitely feel good about everything that we've done and in regards to – we didn't take a lot of capacity offline. In general, it would have been our highest cost least productive capacity. And when you look at the CapEx that we've been spending the last couple of years, the Romania plant coming online, don't feel there's any – we've done anything there that would limit us. Going back to the first part, we closed the plant in Africa at the end of last year. We really have just buttoned that up this quarter, finished the – completed exit of the facility, et cetera. We have plant in Virginia that's scheduled to close this quarter and that's on track. And then we have another plant scheduled to close in the second half of the year and that's on-track as well. So, that'd be the major restructuring consolidation initiatives. Within that, we've had – the Romania plant we've had a fairly sizable expansion in India as well as some expansions in our footprint in China. All of those are progressing well. We have the SG&A initiative that's been working the last couple of years. That's slowed down certainly with the expectation that volume is coming back, but still believe we'll get contribution from that at the EBIT margin line. And then, I would also say just as a general plant productivity standpoint, really looking forward to see the activities that we've had in our plants last couple of years, what our plants can deliver with even a few percent of organic volume because we've had a lot of activities there and haven't had a whole lot to work with from a volume perspective for a couple of years now.
Stephen E. Volkmann - Jefferies LLC: Great. Appreciate that. And maybe just a quick a follow-up, maybe for Phil, because I think you said that distribution was kind of the primary driver of strength that you saw in the quarter. And I'm curious how you feel about distributor inventories. Do you think they're restocking a little bit or is this really the underlying level of activity and any thoughts around that?
Philip D. Fracassa - The Timken Co.: Yeah. Thanks, Steve. Good question. Yeah. On distribution, it was one of the big drivers in the quarter, certainly in Process Industries and obviously off-highway was the big driver in Mobile. Speaking to inventories and distribution, we'd say, in North America, distributor inventories, look like they were relatively flat in the quarter. We do have some visibility into that. So it didn't look like there was any restock. It was more end user demand. Obviously, it's difficult to predict where it'll go from here. We're contemplating more end user demand-driven sales, if you will, for us this year. Outside North America, we did see increases in distribution in Latin America and in Asia, China in particular. And there was probably some degree of restock going on there, probably not material, but there was probably some degree of restock going on there. We have obviously less visibility outside the U.S. than we do in, but that's probably the best way we could depict it.
Stephen E. Volkmann - Jefferies LLC: Great. I appreciate it.
Richard G. Kyle - The Timken Co.: Yeah. I would add that, while it wasn't the question, I would say, where we are seeing our revenue comps are going to be favorable to maybe further down the chain, some of our customers and their customers will be in the off-highway equipment space, which would be normal. It's hard to tell how much that is exactly inventory, service parts, et cetera, but off-highway equipment and heavy equipment in Process Industries would really be the two biggest areas that from a percentage standpoint that swung from four months or five months ago in terms of what we were looking at to where they are at now. And in our numbers, as would normally be, are higher than the customers that are farther down the supply chain than us.
Stephen E. Volkmann - Jefferies LLC: Okay. Thanks so much. I'll pass it on.
Philip D. Fracassa - The Timken Co.: Thanks, Steve.
Operator: Our next question comes from Joe O'Dea with Vertical Research Partners.
Joseph John O'Dea - Vertical Research Partners LLC: Hi. Good morning.
Richard G. Kyle - The Timken Co.: Good morning, Joe.
Philip D. Fracassa - The Timken Co.: Good morning.
Joseph John O'Dea - Vertical Research Partners LLC: On the last comment on off-highway, I think, you touched upon it in some of the prepared remarks, but just looking for some clarification, I guess, whether you had some good visibility into the service side of that versus the OE side of that. I thought you said that it was mostly service-driven, but just any additional commentary there within some of the off-highway improvement that you're seeing.
Richard G. Kyle - The Timken Co.: I would say it's more service-driven than capital spend and you could take it to heavy industries, which is where the swing would be. So in Mobile that would be off-highway, equipment, mining, construction, and ag. In Process Industries, metals, power generation. Both those a pretty significant swing, both would have a higher swing for us at this point on the services side, but we are seeing some improvements in production, equipment run rates as well, so, both but heavier service element.
Joseph John O'Dea - Vertical Research Partners LLC: Great. Thank you. And then just on the split between international versus domestic. Could you give any kind of details on how you think the year unfolds a little bit more? What your full year expectations are for North America and international relative to the 4% organic growth for total?
Richard G. Kyle - The Timken Co.: Let me start and then Phil can come and probably be a little more specific. Our fourth quarter of last year for Asia after we saw competitive comps and peer group comps seemed a little off. And, fortunately, I think, that was more of a timing issue as we did have a strong first quarter and are expecting a strong year in China. And we changed our terminology on that from China to Asia as we're also expecting some pretty good results in India as well. Latin America is the one that I think came on stronger than what we would have anticipated, but they are all a little stronger but Latin America was really looking more flattish. And that that came on pretty strong. North America is still slower for us. And I think some of Phil's specific comments as he articulated was in a lot of markets still down for us year-on-year. Anything you want to jump in on that, Phil?
Philip D. Fracassa - The Timken Co.: Yeah. No. I think the one thing probably worth pointing out was really in distribution where we were down in North America in the first quarter, up across the rest of the world. And we were up at the corporate level. We would expect that to improve – North America to improve as we move through the year and maybe some of the emerging markets to moderate a bit. So, obviously, deliver the growth we've guided to, but we would expect some improvement in North American distribution as we move through the year.
Joseph John O'Dea - Vertical Research Partners LLC: Great. Thanks very much.
Philip D. Fracassa - The Timken Co.: Thanks, Steve.
Richard G. Kyle - The Timken Co.: Thank you.
Operator: We'll go next to Sam Eisner with Goldman Sachs.
Samuel H. Eisner - Goldman Sachs & Co.: Yeah. Good morning, guys.
Philip D. Fracassa - The Timken Co.: Good morning, Sam.
Richard G. Kyle - The Timken Co.: Hey, Sam.
Samuel H. Eisner - Goldman Sachs & Co.: So, just on the price/mix aspect here, you called it out for both segments. Just curious if you can provide a little bit more color. I think you guys have negative price embedded in your prior guidance, so perhaps you can give us an update there as well?
Richard G. Kyle - The Timken Co.: Yes. So, let me – I'll do the same as before. I'll try to keep it up a little higher and let Phil come in. So, on price, we got it last quarter to roughly 50 bps of negative price. That's still embedded in our guidance. I would say would be more optimistic now about that and the upside to that than we were three months or four months ago with the demand picture. Obviously, we've been through a pretty tough last couple of years from a pricing environment and we've held price to under 100 bps, generally, the last couple of years as we done it. So it's been a little bit of a headwind but a manageable one. Material costs have increased from even just a quarter ago. That gives us some more ability to pass that through. And we have announced some price increases, particularly in some geographic areas where we took some pressure a couple of years ago with currency and we're looking to move some of that back. So, still there and not looking for big price move this year, but as the year progresses with volume we'd certainly be looking to set ourselves up for better year in 2018 from a price realization standpoint.
Philip D. Fracassa - The Timken Co.: Yeah. And I would just add – this is Phil – that I think Rich hit it. We expanded margins at the corporate level in the quarter, 30 bps despite the price/mix headwind and really relatively modest organic growth. We'd expect the first quarter to be probably the low point of the worst quarter. From a price/mix perspective, we'd expect that to improve as we move through the year, which is part of that margin improvement. So, we would expect full year margins to be better than the first quarter in part because of the improved performance in price/mix as we move through the year. And obviously mix can vary a lot quarter-to-quarter, particularly in a segment like Process where the product is big. And that really depends on the product shift in the quarter, but certainly we'd expect that to improve as we move through the year.
Samuel H. Eisner - Goldman Sachs & Co.: That's helpful. And maybe just thinking about your manufacturing levels, can you provide a little bit greater detail on how manufacturing levels looked in the first quarter relative to the fourth quarter and then your expectations throughout the course of the year? Are you expecting manufacturing levels to ramp throughout the course of the year and that's helping with the absorption in margins? Any additional clarity there would be great.
Richard G. Kyle - The Timken Co.: Up first quarter from fourth quarter and expecting up again sequentially in second quarter from first. And at that point, I'd say, with the revenue guidance we have in flat, although we would still see some absolute decline in the fourth quarter with holidays and number of production days. But on a per day basis, up in the second quarter and then probably flattish for the year would be what's embedded in our forecast.
Samuel H. Eisner - Goldman Sachs & Co.: Got it. And then maybe one last one just on cash flow. We've seen another company today that reported better than expected results and their cash flow is going to be weaker going forward. You guys are raising your free cash guidance albeit only about $10 million. Can you maybe discuss working capital and your ability to capture that incremental growth with I guess not having to use too much inventory builds? Thanks.
Philip D. Fracassa - The Timken Co.: Yeah. Sure, Sam. This is Phil. So, yeah. We did take the cash flow guide up around $10 million from February with earnings per share up around $0.30. So, our earning is up more than that and we did factor in some increased working capital needs that Rich kind of outlined in the last question. So, I think we feel very good about the ability to generate strong free cash flow this year despite the organic volume increase. And keep in mind we're anticipating a modest 4% organic growth, if you will, for the year. So, still feel very good about the ability to generate free cash flow at or north of that 100% of adjusted net income target that we have.
Samuel H. Eisner - Goldman Sachs & Co.: Great. Thanks so much. I'll hop back in queue.
Philip D. Fracassa - The Timken Co.: Thanks, Sam.
Operator: Our next question comes from Steve Barger with KeyBanc Capital Markets.
Ken H. Newman - KeyBanc Capital Markets, Inc.: Hey. Good morning, guys. It's Ken Newman on for Steve.
Philip D. Fracassa - The Timken Co.: Good morning, Steve (sic) [Ken] (32:52).
Richard G. Kyle - The Timken Co.: Hi, Ken.
Ken H. Newman - KeyBanc Capital Markets, Inc.: Good morning. So, I do have a higher level question to start off with. Just curious, can you talk to the amount of visibility that you have in the distribution channel after a product is sold to a distributor. Just want to try to understand how much visibility do you have in the channel and how much of the restocking is actually embedded within guidance versus what is truly organic?
Richard G. Kyle - The Timken Co.: In North America and Western Europe, we have very good visibility to when that product moves off their shelves and into one of their customers pieces of equipment or onto their shelf for maintenance. So we have very good visibility to that which makes up early sizable percentage of the industrial distribution business. And there is – a lot of that business for us by far would be the shortest cycle in regards to a lot of orders come in the day and they are shift same day and certainly within a week. There is a made to order (34:03) element of it that improved sequentially as well that is lead times, again, as promised out into this quarter. So, that looks pretty good. So the inventory piece looks good. The backlog on the order piece looks good and, certainly, would not be an indication that there has been any sizable inventory build in the channel where we have visibility.
Ken H. Newman - KeyBanc Capital Markets, Inc.: Got it. From a cost perspective, I know you talked about mix, but you also talked a little bit about material cost increases. Could you just remind us how much of that is embedded into the guide?
Philip D. Fracassa - The Timken Co.: Yeah. It's difficult to – probably hard for us to give you a precise amount, but just to say that coming into the year, we had anticipated some, again sizable cost reductions both what we had going last year as well as new initiatives. Those are ongoing. And we thought that would offset inflation we'd see for material and other items like compensation. I would say the inflation is probably a little bit higher than we had thought coming in, but as we talked about we have the ability to price for material as it moves with a lag, but certainly have the ability to price for it at some point. And then obviously the incremental utilization, we're getting our plans with the higher volume, as it has been enough to offset that. So, really hasn't impacted us negatively at the bottom-line at this point.
Ken H. Newman - KeyBanc Capital Markets, Inc.: Got it. And I'll just sneak in one more here. You talked a little bit about restructuring cost earlier. Could you remind us how much savings are you expecting to realize this year and can you just talk a little bit about what carries over into 2018 and what's incremental for everything you've got planned?
Philip D. Fracassa - The Timken Co.: Yeah. So, restructuring is really all about generating those improved margins year-on-year. So, we're guiding for margins to be up 50 basis points for the year based on the midpoint and really restructuring to be part of that. In February, we talked around $40 million of total cost saves, which should be $20 million carryover from last year, roughly $20 million of new initiatives. We'd say that's still relatively on track. And we'll probably – if it's okay we'll probably defer the talk around 2018 carryover, maybe still to get later in the year and we have a little bit more visibility to the timing about the 2017 initiatives actually come in.
Ken H. Newman - KeyBanc Capital Markets, Inc.: Thanks for the time.
Richard G. Kyle - The Timken Co.: Thanks.
Operator: Our next question comes from Justin Bergner with Gabelli & Company.
Justin Laurence Bergner - Gabelli & Company: Good morning. Nice quarter and thanks for taking my questions.
Philip D. Fracassa - The Timken Co.: Thanks, Justin.
Richard G. Kyle - The Timken Co.: Hi, Justin.
Justin Laurence Bergner - Gabelli & Company: Hi. Just – I want to clarify just the new accounting. How much does the new pension accounting add to your EPS guidance for 2017 on a GAAP and adjusted basis?
Philip D. Fracassa - The Timken Co.: Yeah. I think I have the GAAP pretty handy. I have the adjusted pretty handy, Jason. I may have to dig the GAAP up. But on an adjusted basis, it was around – so roughly very similar 2016 and 2017, so was around $0.04 on each period in the first quarter. So around $0.16 on 2016, roughly that amount on 2017, maybe $0.17, but within a $0.01 of the 2016 amount, so very little change year-on-year. The change in the GAAP is really dictated by the timing and magnitude of the re-measurement charges. So, in 2017, for example, we really want to know until the fourth quarter what the mark-to-market adjustment is going to be and it could go either way but what the mark-to-market adjustment is going to be. And that would impact our GAAP results. So last year, it would have been a pretty sizable expense. That would impact our GAAP results and we'd exclude that. But on an adjusted basis, relatively comparable year-on-year with $0.16 last year, call it, $0.17 or so this year. And what we can do maybe offline is we can circle back with you on the little bit more color around the GAAP numbers. We had it in the 8-K on 2016 and then 2017 it's really difficult for us to predict at this point.
Justin Laurence Bergner - Gabelli & Company: Okay. I guess what I was trying to just drive at. So you increased your adjusted earnings guidance $0.15 excluding the pension accounting, so roughly the 4% higher sales growth is driving $0.15 of the higher earnings growth?
Philip D. Fracassa - The Timken Co.: Well, no, actually the guidance we would have provided in February would have included it is as well. So, the increase of our guidance from the $2.10 at the midpoint in February to the call it the $2.40 at the midpoint today, both of those amounts would have been inclusive of mark-to-market.
Justin Laurence Bergner - Gabelli & Company: Okay. Great. Sorry about that confusion. To address the margins, I guess, you're currently guiding for a 50 basis point increase in margins this year. I mean is that all essentially increased volume? Are there any other moving components of size within that new margin bridge?
Philip D. Fracassa - The Timken Co.: Yeah. So obviously there is a lot of moving pieces, but obviously the higher volume – we did generate obviously good incremental margins on that with the better manufacturing utilization. And then obviously you've got to factor in the other elements like impep (39:41) and SG&A costs, price/mix and the like. But clearly the biggest driver of the increased margins year-on-year would be the volume and related manufacturing utilization.
Justin Laurence Bergner - Gabelli & Company: Okay. That's helpful. And then with pricing – is it price/mix combined that's going to be a 50 basis point headwind this year? And if so, I guess, in the first quarter, that negative $9 million would suggest it was over 100 basis point headwind given that volume was positive. Is that the right way to look at it?
Philip D. Fracassa - The Timken Co.: No. I think when we talk about the 50 basis points on the top-line we're typically talking about price-only. We'll measure mix on the margin, but not on the top-line. So the 50 basis points would have been – as Rich talked about, would have been price-only. Coming into the year, we thought it would have been around 50 basis points plus or minus. We're still in that ballpark, maybe a little bit better than we thought coming into the year. But that would be price-only. We would have been worse than that in the first quarter and then we'd expect it to improve as we move through the year into that roughly 50 basis points for the full year.
Justin Laurence Bergner - Gabelli & Company: Okay. And then just sorry to clarify one more time, but that's price net of cost or just price in isolation? And then would you expect mix to be positive given the ramp-up in distribution sales that you're seeing from 2017 perspective as a whole?
Philip D. Fracassa - The Timken Co.: Yeah. That price number, that 50 basis points, would be, call it, gross price. It wouldn't be a price/cost net number. And then on mix, you're right. In mix, there is a lot of different elements that impact mix. And in Process Industries, for example, we are expecting margins to improve in 2017 versus 2016. We did have negative mix in the first quarter, but would expect that to mitigate as we move through the year and as you mentioned as distribution continues to improve.
Richard G. Kyle - The Timken Co.: We still have some tough year-on-year comps with rail, which hurts the mobile mix a little bit. Again, we're offsetting that with other things in mobile and outlook but there's some pluses and minuses as Phil said, within the mix.
Justin Laurence Bergner - Gabelli & Company: Okay. Great. Thanks.
Operator: We'll go next to Ross Gilardi with Bank of America.
Ross P. Gilardi - Bank of America Merrill Lynch: Good morning, guys.
Philip D. Fracassa - The Timken Co.: Good morning, Ross.
Richard G. Kyle - The Timken Co.: Hi, Ross.
Ross P. Gilardi - Bank of America Merrill Lynch: Just a couple. Firstly, longer-term, I mean how would you pen it? I mean, what kind of revenue do you think you need to get back to the middle of your margin targets for your two segments?
Richard G. Kyle - The Timken Co.: I would probably want to defer that one, Ross, for two weeks or three weeks when we're at our Investor Day and we talk to you a little bit more about longer-term targets.
Ross P. Gilardi - Bank of America Merrill Lynch: Can you give us any sense? Like is it – 2014 you – basically I think was the last time you did it and it was on – close to $3.1 billion of revenue. Do you need to get back to $3.1 billion in revenue to get there?
Philip D. Fracassa - The Timken Co.: Yeah. I mean, really, very dependent on what's driving the increases and, obviously acquisitions would come in at an EBIT margin, the mix between Process and Mobile, Ross. So, I think, it's probably best – obviously, we've taken a lot of cost out structurally and we've done a lot to improve structural margins and improve our margin generation ability, if you will. So, I would expect that we would get there faster than that, if you will. But I think Rich is right, we'll be in a better position to go through in a little bit more detail with you and others at our Investor Day on May 19.
Richard G. Kyle - The Timken Co.: Yeah. We'll definitely – that will be a subject we'll get into in the Investor Day. But I would just say going back to 2014, obviously, a fair amount has changed. But we are a better, stronger business today, I think, than 2014 and certainly we could get back there with those levels readily.
Ross P. Gilardi - Bank of America Merrill Lynch: Got it. Okay. So stay tuned. Thanks, guys. Fair enough. And then just on some of the key end markets for Timken, I was just curious if we could get a little bit more color. In Mobile, you had cited increased demand in ag. And Mobile, you also said something about – well, was a reason to raise your guidance, improved demand in heavy truck. In your slide deck you've got heavy truck as a neutral. So, I'm trying to understand what you are communicating there. Are your customers in both of those segments actually increasing production now or is just the outlook less bad than you thought it was a few months ago?
Richard G. Kyle - The Timken Co.: Yeah. So to go from where we guided three months ago to today, I would say, nearly – essentially all of our end markets have a stronger outlook to get to the 5% to 6% than what they had three months ago with the exception of automotive which hasn't got worse, but hasn't gotten better and I think Phil said in his comments is at robust levels and has a good outlook, but has not strengthened. And then our services business, I would say, has not changed materially either. So, in the case of heavy truck, we move – if you're back in February, we were projecting heavy truck would be down year-on-year and was one of the offsets to get us to flat and now we've got it in the neutral zone. So we've moved that up from a negative to a neutral in a fairly material swing in terms of percentage.
Ross P. Gilardi - Bank of America Merrill Lynch: And in ag, what are you seeing and could you be any more specific on the regions because you made an acquisition I know a year or two ago? That it increased your exposure I think to the smaller ag equipment market. Is that sort of North American large ag or is it elsewhere?
Richard G. Kyle - The Timken Co.: Yes. So, on ag, again, that's another one that we had as negative. And we've bucketed that now into the off-highway group as you look at our April guidance sheet in the deck, that the net of all the off-highway is positive. I would say ag is – of our three big spaces in there, mining, construction and ag, ag would be the weakest of the three but has moved from a negative to a positive. And I would say that's more for us still services related probably than equipment build at this point in time but sentiment improving. So we'll see how the year progresses there.
Ross P. Gilardi - Bank of America Merrill Lynch: Got it. Thanks, guys.
Richard G. Kyle - The Timken Co.: Thanks, Ross.
Operator: We'll go next to Joe O'Dea with Vertical Research Partners for a follow-up question.
Joseph John O'Dea - Vertical Research Partners LLC: Hi. Thanks for taking the follow-up. Just wanted to confirm on the pricing front. It sounds like the biggest opportunity moving into the rest of the year is international distribution and so confirmation of that. And then also just to understand how much opportunity you could have with the mobile OE side of things, whether or not most of that pricing is set and so you just don't have flexibility there or if demand continues to improve you could have some flexibility there?
Richard G. Kyle - The Timken Co.: Yeah. So, let me take that. I'd say our pricing flexibility is in three buckets, on OEMs, which is predominant in Mobile, but there is an element of that in Process as well. Vast majority of that would be on 12-month contracts. So, a lot of which is – just ended last year, some of which though is middle of the year. So, there's – I wouldn't want to say there is no opportunity there. And then also a lot of that has material pass-through, which as material cost increased in the first quarter will actually raise our prices, but isn't a margin expansion for us, but would raise prices somewhat. So that's a big part of Mobile, a relatively small part of Process. Within other parts of business, we have a project element of our business that generally gets reported through OEMs, but somebody is building a one-off piece of equipment. That's an area where relatively quickly we can with some buying support start quoting higher prices and would look to do that through the course of this year and expect that the competitive dynamic and volume dynamic will support some of that. Some of that would be, as I said earlier, more of an impact probably on 2018 than this year. And then the third piece is distribution, which we would look to move prices, I would say, globally this year, including North America. I just talked about that we started in some international parts of the world, but would look to net positive pricing this year in global distribution, including North America.
Joseph John O'Dea - Vertical Research Partners LLC: Thanks for those details. Appreciate it.
Operator: Our next follow-up comes from Justin Bergner with Gabelli & Company.
Justin Laurence Bergner - Gabelli & Company: Thanks for the follow-up. On wind, has your outlook materially changed from a quarter ago and if so perhaps why?
Richard G. Kyle - The Timken Co.: No. I think we would attribute the first quarter to, I'd say, more lumpiness. I mean that is a business that doesn't come for – how we end up booking the shipments does not come as smoothly as one might think in regards to these big pieces of capital equipment. So, still feel good about the market for the year and feel good about our penetration for the year and there was just a tough comp for us and under from the prior year.
Justin Laurence Bergner - Gabelli & Company: Okay. Thanks.
Operator: At this time, I'd like to turn the conference back over to management for any additional or closing remarks.
Richard G. Kyle - The Timken Co.: Thank you. Before closing the call, I just wanted to remind everyone that we're hosting an Investor Day in New York City on May 19 and we hope to see many of you there. And please contact Jason Hershiser if you have not received an invitation, but would like to attend. The event will be webcast for those unable to attend live. Thank you for your interest in The Timken Company and we look forward to talking to you and seeing you on May 19.
Philip D. Fracassa - The Timken Co.: Thank you.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.